Operator: Good afternoon, and welcome to Shoe Carnival's Fiscal Year 2014 First Quarter Earnings Conference Call. Today's call is being recorded and is also being broadcast via live webcast. Any reproduction or rebroadcast of any portion of this call is expressly prohibited.
 This conference may contain forward-looking statements that involve a number of risk factors.  These risk factors could cause the company's actual results to be materially different from those projected in such statements. These forward-looking statements should be considered in conjunction with the discussion of risk factors included in the company's SEC filings and today's press release. Investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today's date. The company disclaims any obligation to update any of the risk factors or to publicly announce any revisions to the forward-looking statements talked about during this conference call or contained in today's press release to reflect future events or developments.
 I will now turn the call over to Mr. Cliff Sifford, President, Chief Executive Officer, Chief Merchandising Officer of Shoe Carnival, for opening comments. Mr. Sifford, please begin. 
Clifton Sifford: Thank you, and welcome to Shoe Carnival's first quarter 2014 Earnings Conference Call. Joining me on the call today is Kerry Jackson, Senior Executive Vice President, Chief Operating and Financial Officer. 
 For today's call, I will give a high-level review of the company's performance for the quarter and Kerry will review the financial results along with second quarter guidance. And then we'll open up the call to take your questions.
 The first 5 weeks for the first quarter were disrupted with harsh winter storms that negatively affected traffic across the chain. However, during the second half of the quarter, more seasonal weather conditions and a later Easter allowed us to finish the quarter with a comparable store sales decrease of 1.7%. 
 Traffic for the quarter was down low-double digits. However, our strategy of elevating our branded assortment through the addition of better department store brands led to an increase in all other metrics we measure ourselves by.
 Average unit retail and average transaction were up mid-single digits, while conversion and units per transaction were up low-single digits. 
 Even though we increased promotional activity around Easter to elevate sell-through of certain underperforming product categories, merchandise margins increased by 50 basis points over the prior year's first quarter. Our gross margin of 29.5% was basically flat to last year. However, we were not able to leverage our expense structure under our lower comparable store sales. This resulted in earnings per diluted share of $0.45, which was at the low end of our guidance.
 Although we don't report e-commerce sales separately, we were pleased with the sales increases we experienced for the quarter. After the start of our national advertising strategy, we experienced a strong peak in both online traffic and sales. 
 As I mentioned on our last call, we are in the process of moving away from our third-party fulfillment arrangement and transitioning toward shipping from our distribution center and stores. We plan to have this transition completed by the end of the third quarter. This is beneficial in many ways. But most importantly, it will allow us to increase both the breadth and depth of our selection on the site and it will better utilize our store level inventory.
 We ended the quarter with inventory down slightly on a per-store basis. Although our plans called for slightly lower inventory levels, we are pleased with the content and we believe we are well-positioned for second quarter sales.
 Moving on to merchandise highlights for the quarter. In our women's nonathletic department, comparable store sales for the quarter were down low-single digits. Dress shoes continue to decline as a category as our customers continue to favor canvas casuals, flat sandals and thanks to the weather, boots. 
 In our men's nonathletic department, we ended the quarter with a mid-single digit decline on a comparable store basis. Once again, it was all about casual boots, which experienced high-single digit sales growth on a comparable basis. 
 Our children's nonathletic business ended the quarter with a low-single digit comparable store sales increase. This increase was driven primarily by sandals and canvas.
 In athletic, for adults and kids combined, comparable store sales were slightly negative for the quarter. Strong categories were boy's basketball, kid's canvas, running for men and women, along with men's skate.
 Turning now to store expansion. We continue to be focused on growth as we opened 7 new stores in the first quarter and closed 1 store, taking us to a total of 382 stores in 32 states and Puerto Rico.
 For the second quarter of 2014, we'll continue our accelerated store growth strategy by opening 16 new stores. 11 of those 16 stores will be in advertising markets that we currently serve by infilling these markets that allows us to more effectively communicate to our customers through enhanced advertising plans. 
 For the year, we're still on plan to open between 30 and 35 stores. Our aggressive growth strategy requires detailed site selection analysis. 
 To better support our decision-making process, we implemented a real estate modeling software program. This software takes our customer data and helps us to better understand where the typical Shoe Carnival customer lives and shops. Our real estate team, working closely with the executive team, is utilizing this data to identify potential new sites. It will also provide us a better perspective on our existing stores and their long-term potential. This is an important tool as we continue our growth strategy of doubling the number of Shoe Carnival stores over the next decade.
 Turning now to marketing. As we previously announced, we launched our first ever national cable television ad campaign the first week of April and we saw immediate results. Major cities across the U.S. where we don't currently operate brick-and-mortar stores were now our top 10 traffic producers through our e-commerce site. 
 National advertising is a strategic initiative to enhance our long-term growth plans not only within our existing markets but also to create name brand recognition with potential customers and new markets. This increase in traffic and sales for e-commerce reinforces our belief that we are on the right path.
 I am also excited to report that we added almost 800,000 new members to our Shoe Perks customer loyalty program. We're on track to double our membership from 2013 to over 6 million members. 
 For the first quarter, Shoe Perks customers accounted for more than 40% of our total sales. We believe our Shoe Perks members shop us more often than nonmembers and we know on average they spend almost 35% more than nonmembers.
 Looking at the second quarter. Our customer continues to be affected by the macro economic issues of higher fuel and utility costs left over from the harsh winter we all experienced. 
 In addition, underemployment and unemployment continues to affect our middle to lower income customer base. 
 Also, as part of our national advertising initiative, we have shifted dollars from our traditional insert programs to a more aggressive television strategy, which we believe will drive brand awareness and sales as we enter the back-to-school in second half of the year.  Therefore, we continue to look at comparable store sales for the second quarter cautiously. 
 Sales month to date are currently running down mid-single digits. It is our belief that with this trend and the current uncertain economic environment, we will need to be more promotional as we navigate through this quarter. 
 Advertising trues up as we go through the latter part of the quarter and we are pleased with both the content and the message. We have spent a great deal of time preparing for the back-to-school time period, which begins in July, from both the marketing and merchandise standpoint. So while we look at second quarter cautiously, we expect to see a more normalized trend from the second half of the year.
 This completes my prepared remarks. And now I'd like to turn the call over to Kerry Jackson for details on our financial results. 
W. Jackson: Thank you, Cliff. I will discuss our first quarter financial results followed by information on cash flows, then conclude with our outlook for the second quarter of fiscal 2014. 
 Net sales were $235.8 million for the first quarter of fiscal 2014 as compared to net sales of $232.3 million for the first quarter fiscal 2013, an increase of $3.5 million.
 The $3.5 million increase in net sales was driven by an increase of $10 million from the 39 new stores opened since the beginning of fiscal 2013, partially offset by a comparable store sales decline of 1.7% and a $2.6 million loss in sales from the 8 stores closed since the beginning of fiscal 2013.
 Gross profit margin for the quarter was 29.5% and remains flat from the prior year. 
 Our merchandise gross profit margin increased 0.5% from Q1 last year, while buying, distribution and occupancy expenses increased 0.5% as a percentage of sales. The increase in buying, distribution and occupancy was primarily due to higher occupancy.
 As a reminder, we typically need a 2% to 3% comp increase to leverage our occupancy costs at our current rate of new store growth.
 Selling, general and administrative expenses increased $1 million in the first quarter of fiscal 2014 to $54.4 million. As a percentage of net sales, SG&A increased 10 basis points. The increase in SG&A was primarily due to a $2.3 million increase in expenses for new stores net of expense reduction of stores that have closed since the beginning of fiscal 2013. 
 Another significant change in SG&A for the quarter was attributable to incentive compensation expense, which decreased $963,000 in the first quarter fiscal 2014 as compared to the same period last year.
 Preopening cost included in SG&A were $453,000 or 0.2% of sales in the first quarter of fiscal 2014 as compared to $717,000 or 0.3% of sales in the first quarter of last year. The decrease in expense was due to openings 6 fewer new stores in Q1 this year compared to Q1 last year. The change in preopening costs included in buying, distribution and occupancy costs between the 2 periods was minimal.
 The effective income tax rate for the first quarter of fiscal 2014 was 39.7% as compared to 37.4% for the same period in fiscal 2013.
 The increase in the affected income tax rate between periods was primarily due to the expiration of certain federal tax credits no longer available to us in 2014 and the passage of new tax legislation of Puerto Rico. 
 The annual effective income tax rate for fiscal 2014 is expected to be a little over 39%.
 Net earnings for the first quarter of fiscal 2014 were $9.2 million or $0.45 per diluted share as compared to our expectations provided on March 20, 2014, of $0.45 to $0.52 per diluted share. 
 For the first quarter fiscal 2013, we reported net earnings of $9.5 million or $0.47 per diluted share.
 Now turning to our cash position and information affecting cash flow. No purchases have been made this year under our share repurchase program. We currently have $20.3 million available under our existing repurchase authorization. Depreciation expense was $4.6 million in Q1. Depreciation expense is expected to be approximately $20 million for the full fiscal year.
 Capital expenditures for 2014 included actual expenditures during the first quarter are expected to be between $33 million and $35 million. Approximately $19 million of our total capital expenditure are expected to be used for new stores and $8 million will be used for store relocations and remodels. These incentives are anticipated to be $8 million to $9 million for the year.
 My final comment today will focus on sales and earnings expectation for the second quarter of fiscal 2014. We expect second quarter net sales to be in the range of $223 million to $228 million with comparable store sales ranging from flat to a decline of 3%.
 Earnings per diluted share in the second quarter of fiscal 2014 are expected to be in the range of $0.12 to $0.16. 
 Included in the earnings estimates for the second quarter is the expectation at the high end of our guidance that gross profit margin will decline a little more than 1% and SG&A will deleverage by about 1%. Approximately half of the decrease in the gross profit margin will be as a result to be more promotional of seasonal merchandise in Q2 and the other half will come from deleveraging of occupancy and distribution costs due primarily to higher preopening costs. The deleveraging of SG&A is primarily due to higher advertising and preopening expenses. 
 In the second quarter last year, sales were $216.4 million and our diluted earnings per share were $0.29.
 This concludes our financial review. Now I'd like to open up the call for questions. 
Operator: [Operator Instructions] We'll take our first question from Jeff Stein with Northcoast Research. 
Jeffrey Stein: First of all, a little bit surprised about the current business trend. I would have thought there would be some pent-up demand. So I'm wondering, is the weakness that you're seeing now regionalized or are you seeing it across the board? And then I've got a follow-up question. 
Clifton Sifford: Jeff, the majority of the decrease that were running month to date has to do with the shift in our advertising calendar. Part of the way we funded our national advertising campaign was through our insert program. And we eliminated and insert -- excuse me, we cut the insert way back from a distribution standpoint at the beginning of this month. The trend actually over the past several days have been much better. It's just going against that insert at the beginning of this month dug us a little bit of a hole. 
Jeffrey Stein: Cliff, given the fact that television advertising tends to build over a very long period of time, wouldn't it be fair to say that as you kind of move through the year, you're going to continue to see this kind of trend because well, it would just seem that that's kind of how it would seem it was going to -- it's going to play out? 
Clifton Sifford: I think in many -- I think in any promotion where we have eliminated or cut back drastically an insert, we're going to see a decrease in sales for that particular time period. Fortunately, for the second half of the year, the majority of those inserts are intact. Back-to-school is intact as we move through holiday, that's intact. So I think we eliminated one insert in the fourth quarter and cut back with an insert later in the fourth quarter. So, Jeff, to be honest, I think that the reason I feel better about the second half is because the marketing trues up. 
Jeffrey Stein: So how many circular -- how many -- how much are you cutting back on your circular program in the second quarter overall? So looking ahead for the rest of the quarter. And can you comment at all in terms of the number of BOGO weeks that you would expect to see this year in Q2 compared to last year? 
Clifton Sifford: I can tell you that we have not nor will we -- we are not changing BOGO in anyway. But to be honest with -- Jeff, I'd rather not comment on our marketing plans. Our competition does listen in on our calls and I'll just not comment on the marketing trends in the second quarter. Suffice it to say that we've build that into the guidance any insert decrease that we are going to have. 
Jeffrey Stein: Got it. And one question for Kerry. Kerry, I'm wondering is there any slippage in your store expansion program? In my model, originally, I planned about 19 stores for the second quarter and it looks like you're a bit shy of that. 
W. Jackson: We are. It's just moving between quarters, we're still expecting 30 to 35 for the year. There are still some fluctuation of stores at the end and certain stores that were anticipated to be in the second quarter have pushed into the -- late in the third, early in the fourth. 
Operator: We'll go next to Chris Svezia with Susquehanna Financial Group. 
Christopher Svezia: I guess my -- just in the context for the second quarter, [indiscernible] last year. Any color around what the calendar shift brought in terms of revenues or earnings? Can you just give us any color in and around that at all from last year? 
Clifton Sifford: That would've been the 52 weeks versus -- 52 versus 53. 
Christopher Svezia: Right. The back-to-school week falls in the second quarter. I think it drove revenues and I think it drove some earnings upside. So I'm just trying to understand what that was. 
W. Jackson: It was. I don't have that with me. This year will comp for that. So it won't -- this year compared to last year, you won't have significant issues. To the best of our knowledge, at this stage, the back-to-school and tax-free days are fairly similar. 
Clifton Sifford: There's one change, Chris, to tax-free. North Carolina eliminated their tax-free event the last week of the quarter. Actually it was the last weekend of the quarter. Normally, in the past, what we've seen in cases like that is that over the period of back-to-school, you don't lose the sales, you just lose the sales for that one event. 
Christopher Svezia: Okay. Can just remind me again, I'm just trying to understand, why did you guys change your advertising coming into this second quarter? Just go through that one more time, it was just a little confused about why... 
Clifton Sifford: Yes, what we did, Chris, is we took to look at every avenue that we use as an advertising vehicle and if it did not give a return on investment, then we either cut it back or eliminated it. And that was the decision. Now return of investment is obviously different than the sales it produces. It's going to produce sales but not necessarily be profitable based on the cost of the insert. So we eliminated those inserts. And to be honest, we felt that there would be a decrease in sales during this time period with the insert, but with a more normalized weather pattern, this is -- at last year, as we were making these decisions that we would be able to make that up during -- throughout the quarter. To be honest with you, the loss on sales that we took at the beginning of this month was a little north from where we felt we we're going to lose. 
Christopher Svezia: So much for best intentions, I guess, it's going to hurt you anyway at the end of the day. 
Clifton Sifford: Well, I'll tell you what's going to happen. The fact that -- and Jeff Stein was absolutely correct. Television is a building -- from a marketing standpoint, builds over time. And as we continue this program and we back that program up with the key inserts like for the back-to-school time period and holiday, we feel we'll get nice results out of that. That's again the reason I feel better about the second half of the year. 
Christopher Svezia: Did you see anything at all as you started doing national advertising in April when that clicked on in-store? I know you commented online, but did you see any or can you draw any results to anything that happened in stores in some of these markets? 
Clifton Sifford: No, I cannot give you a solid -- any results from the in-store. We had Easter versus Easter, we were flat, dead on flat, Easter versus Easter. If you eliminate the first week of March and look at March and April because if you remember, the first week of March was rather snowy and we had quite a number of stores that were closed during the first few days of that month. We were actually just better than flat for that time period. 
Christopher Svezia: What -- okay, 2 last questions. One just on product, athletic. You mentioned that it was down slightly in the quarter but you called out pretty much every product category there under the sun, basketball, running. What was the count? 
Clifton Sifford: Boy's basketball. Men's basketball was not stellar during that time period. The basketball category, where it's working right now in adults is all left on the mall, it's all the prestige product. But we -- skate as far as non -- as far as the leather skate product was not good. The canvas skate product was good. So there were -- we saw increases, as I said, in running, we saw increases in boy's basketball and boy's -- in canvas for both girls and boys but there are decreases in other categories, such as women's skate, women's basketball, men's basketball past the canvas stuff. 
Christopher Svezia: Okay. And, Kerry, just what's the comp progression as we go through the second quarter? I just had a vague recollection you were comping really strong coming into the second quarter last year. And then, obviously, it slowed up as the quarter progressed. So kind of give us a context what we're up against. 
Clifton Sifford: We had a good April last year -- excuse me, a good May, a good June and our July was slightly down a little over 1%. 
Operator: We'll go next is Jill Nelson with Johnson Rice. 
Jill Caruthers: If you could just kind of talk about your inventory content. It sounded like you increased promotional activity around Easter to drive sales but then you're talking about anticipated higher promotions for second quarter. Could you just talk about kind of your inventory content for now? 
Clifton Sifford: Well, Jill, look, let me talk a little bit about increased promotion in the second quarter. I do think that economy had some -- it's not entirely the insert program that hurt ourselves in the first quarter. I think the economy also played a major part in that. The customers seem to respond better, at least our customer as you get a little more promotional. So our plan is to get a bit more promotional as we head into the second quarter, as we continue to the second quarter. But as we entered into Easter, when we saw that Easter was not progressing the way we had it planned, then we did get a little bit more promotional so we could keep our inventories clean. And that's one of the things I think we do well. We react quickly to issues, whether good or bad. If sales are good, we get back into that product category. If sales don't trend the way we expect them to, we get our markdowns taken and we keep our inventories clean before we ended our -- we ended our quarter with inventory slightly down. 
Jill Caruthers: Okay. And then could you just talk about some progress on the women's nonathletic? I know you said dress was down, but I know you've expanded in some better fashion brands. If you could just give us an update there. 
Clifton Sifford: We're real pleased with the fashion brands. We have them currently in just over 100 stores for fall. We'll expand that selection to about 140 stores but we're excited about what's happening there. Our customer is reaching up and -- when you think about -- when I talk about the economy, how it's affected our customer, our customer that -- higher end customer for us. So higher middle income customer, she's out there and she's buying. That's the reason our average price unit retail is up, our average transaction is up and our average pairs per transaction are up. So that tells me that the customer -- that customer is not getting hurt in the economy near as much as the middle, the lower income consumer. 
Jill Caruthers: Okay. And then just last one on the real estate modeling software program you mentioned. Kind of wondering when you work through the data that it's given you, when will that impact kind of your store selection database? It sounds like it's kind of a work in progress right now. 
Clifton Sifford: It is definitely a work in progress. We're getting familiar with the whole software program, but we've already made several decisions based on information that we provide from the reports that we're running. So -- but I do believe that to your point, that it's going to take some time for us to really understand everything this does for us. And -- but -- and it's going to help us actually with our existing store base as well. 
Operator: [Operator Instructions] We'll go next to Mark Montagna with Avondale Partners. 
Mark Montagna: Just a question about the shift from leather footwear to canvas. With that shift, you're going to, I would imagine, lower retails. And I'm wondering how much of that would be the factor? How much of that would've contributed to the disappointing comps? And then your comp guidance for the second quarter, is it a big... 
Clifton Sifford: Actually our average -- Mark, our average unit retail was up. So I don't -- we don't -- our vendor base is pretty proud of their, the canvas product. So yes, product -- the canvas product sales, they're a little less than the leather product. But overall, our average unit retail was up for the quarter. So I don't really attribute the switch to canvas product to the -- our loss was driven primarily from a customer traffic standpoint. 
Mark Montagna: Well, could the traffic be an issue of maybe some prices have gotten too high because -- I think they're up average -- averaging at retail is up a pretty high amount over the past 3, 4 years. Is it possible you maybe let things creep little bit too high? 
Clifton Sifford: Well, we asked ourselves the same question, Mark, and we did a store-by-store assessment on traffic versus unit -- average unit retail and we found that that's definitely not the case. We -- our traffic pretty much down across all spectrums of our business, the higher end stores and the lower end stores. The higher end stores where we have the better product however, is selling product at a higher retail price and that's helping to mitigate their loss. 
Mark Montagna: Okay. And then last question just deals with sandals. On the last call, you had mentioned that sandals, I think you said were up midteens. I might have missed it but did you address how sandals finished in the first quarter? 
Clifton Sifford: I said that sandals were up, I did not talk about how much. But our women's sandal business was just shy of double-digit up. 
Mark Montagna: That was the first quarter? 
Clifton Sifford: Yes. 
Operator: We go next to a follow-up from Jeff Stein with Northcoast Research. 
Jeffrey Stein: So, guys, when you're looking at where you're locating your new stores, it seems like you kind of have a bifurcated real estate strategy now where you have the biggest chunk of your stores catering to more of this urban customer, very moderate customer. And then you got these 100 stores, soon to be 140, that are targeted more towards that upper middle income customer. So where are these 30 to 35 new stores that you're opening this year? How many of those would be in markets that are suited for that better fashion product? And on a go-forward basis, doesn't it make sense to have all of your stores that you're opening in markets that would accept that type of product just to eliminate some of the volatility that you guys seem to see whenever we get into a slower economic environment? 
Clifton Sifford: Well, Jeff, first of all, there are better products going into about 30 of the stores -- the 30, 35 stores we open up this year. So I'm not sure that you're correct that the majority of our stores are in urban markets. There's about 40% either African-American or Hispanic and the rest we consider to be suburban. The -- I don't know off the top of my head the breakdown of the 35 stores this year, but my guess and I'm looking at Kerry right now, But my guess is that we're probably 70% sub-urban and 30% African-American or Hispanic. It might be 60:40 but I'm not far off from that. 
Jeffrey Stein: Sure. So I guess the question would then be and I stand corrected, why wouldn't you want to open all of you your new stores in the better markets? 
Clifton Sifford: Well, let me say this. Our best volume stores, our largest volume stores in the company are markets that are either 40 -- somewhere between 30% to 40% African-American or Hispanic. So we consider those Hispanic or African-American stores they hit that kind of percentage, but those are our largest volume stores. So I -- yes, we get hurt and there are economic downturns for that but -- when that happens. But our best stores continue to be in those markets. And it's one of the strengths of our company is that we can -- we market or market and merchandise our stores for that customer. 
Jeffrey Stein: Kerry, I'm wondering if you could tell us in the first quarter what the comp store sales were in those 100 locations if you were just to isolate those. 
W. Jackson: I don't have it off the top of my head. 
Clifton Sifford: I don't have -- the 100, that's a number we can definitely get. I could tell you that the comp store sales between the suburban store -- what we can call suburban, what we call Hispanic and what we call African-American are pretty much the same across the board. We didn't have -- measured decreases in the African-American stores or the Hispanic stores and we did in our suburban stores. 
Jeffrey Stein: You did or did not? I'm sorry. 
W. Jackson: Did not have significant differences between them. Keep in mind that while we do have certain stores that over index to a certain ethnicity, very few of our stores are going to be considered completely suburban. In every store we're going to have, we would definitely mimic the population, which is going to have some African-American, some Hispanic and a majority of suburban. So that's why when we look at our numbers, that's why we're saying we're seeing traffic slow down across the board. We're going to have every -- virtually store influenced by a moderate to low income consumer whether that be a different ethnicity, AA, Hispanic or suburban. We think it's more related to income as opposed to ethnicity. [indiscernible] on the real estate is that when we're making real estate decisions, we start looking at sites. Sometimes, up to 2 years ahead of time, we might sign -- we try to sign the lease at least 9 months ahead of time. The slowdown that we're seeing right now that's been affected for the -- has been fourth quarter and first quarter. So really all these decisions we've made on real estate for '14 were almost all previously made. 
Jeffrey Stein: Right. Okay. All right, that makes sense. Just one comment -- one question on e-commerce. You mentioned that you saw a pretty sharp increase in sales once television was turned on. And I'm wondering what have you seen in the way of conversion rates? In other words, people are visiting your sites but are -- has their propensity to buy since television was turned on, increase, decrease or remained about the same? 
Clifton Sifford: Our conversion rate is way up. That's something that we're very proud of. So not only is our traffic up but conversion is up, too. But that's -- conversion actually began to increase on our e-commerce site after we hired our new e-commerce VP and we corrected some of the issues with the site. We started seeing conversion rates increase immediately after that and they have continued to climb. So fairly happy with our conversion rates, Jeff, but the -- it was incredible to us to see the spike almost overnight in these markets that we don't serve, markets like New York and L.A. and Philadelphia, the traffic in those -- traffic and sales in those markets spiked and in some cases, into the top 10. 
Jeffrey Stein: Are you including your e-commerce sales in comps? 
Clifton Sifford: Yes, we are. 
Jeffrey Stein: Okay because in effect, if you're getting a big chunk of your sales from markets where you currently do not have stores, that kind of inflates the reported comp to some degree. I mean is there any way to isolate for us what percent of your e-commerce sales are coming from markets where you have stores? 
Clifton Sifford: Small numbers. We get small numbers. Our e-commerce business has not been -- has not had an effect on our comps and that had a very minimal effect on our comps this quarter. 
Operator: We go next to a follow-up with Mark Mantegna with Avondale Partners. 
Mark Montagna: Just kind of following along with the e-commerce question. It sounds like you guys are doing pretty well with your e-commerce and I would imagine that it's going to continue to do well and keep growing. Does that cause you to rethink your -- the average size of your new stores going forward? Leases that you haven't quite signed yet? 
Clifton Sifford: I don't -- I couldn't tell you that e-commerce has made us rethink that but I will tell you that as we get familiar with this new software program, and as we look at the kind of volumes we can expect in some of these markets, we are rethinking store size. 
Mark Montagna: Okay. So that wouldn't -- you wouldn't go to impact store size. Can you actually impact it next year or are things too far? 
Clifton Sifford: We've been able to impact it on some of the sites that we looked at, that we signed for the latter part of this year and we definitely -- that is definitely part of our strategy going into '15. 
Operator: And we go next to Sam Poser with Sterne Agee. 
Sam Poser: A couple of things. Number one, the new store -- can you give us an idea of what the new store productivity is looking like right now and how you see that rolling out throughout the year? 
W. Jackson: Sam, any time our existing comp base is not performing where we had the negative 1.7%, we'll see in our newer stores where they've got a less-developed customer base perform more underneath our expectations. So it's still early for the stores we've opened this year and the stores are open in the second half of last year, we've now gone into 2 quarters where we've had difficult time with weather, economy, et cetera. So it's really hard to judge new store performance right now. From what we expected, it will be the longer-term. But right now, it's underneath what we would have expected under more normalized conditions. 
Sam Poser: So it's it under the pro forma? 
W. Jackson: That's a relative statement. I -- there's a lot more to a conversation than the pro forma sales. But the general statement is, is that against what we were expecting the stores to do, it has underperformed as a group. 
Sam Poser: Okay. And then you mentioned that -- how many people do have you signed up on the Shoe Perks thing to this point? 
Clifton Sifford: We're a little over 3 million, I believe the exact number, well it's over 3 million and we expect to end this year at 6 million or better. 
Sam Poser: And I guess my question to you is you said you added 800,000 in the quarter, is that correct? 
W. Jackson: Correct. 
Sam Poser: Are you -- are these -- I mean you're adding customers. I assume those customers, as you add them, are shopping. So with -- if you added 800,000 and 40% of your -- I mean how many of the Perks customers are actually coming back? I mean -- because you added -- I assume most of the 800,000 people that you added shop, which is already close to a 40% increase over -- yes, I mean it's close to 40% increase over what it was. 
Clifton Sifford: Yes. I think this time last year, we were talking about -- I don't have the prepared remarks in front of me, I believe Shoe Perks members last year, first quarter are kind of -- they're a little over 20%. I wouldn't let that go into the report until I can verify the number but I believe I'm close to right. 
Sam Poser: So I guess my question is are the customers coming back and being loyal now or are you just getting the benefit of adding more people because those people are shopping? 
Clifton Sifford: Customers we added for the first quarter, I can't tell you whether those customers came back during the first quarter are going to come back back-to-school. But the advantage to adding these customers, Sam, is that we get to talk to them. We have their e-mail address and we've got the market and tell them what's going on. So the goal is to get them back -- to talk to them and get them back into our stores as often as possible. But I can't tell you that the customer -- the 800,000 that we added for the first quarter have come back. 
Sam Poser: No, no. What I'm saying is I assume they shop. The question is how many of the previous 3 million, 2.2 million came back in the quarter? 
Clifton Sifford: I don't have that answer. I can tell you... 
Sam Poser: That's more what I'm trying to figure out. 
Clifton Sifford: Yes. I can tell you that Shoe Perks is kind of 40% and believe and I'll verify this for you, but I believe that this time last year, that was slightly over 20%. 
Sam Poser: Okay. And then can you talk -- I just want to clarify what what's in what categories. When you're talking about women's casual, you're not putting our friends from Manhattan beach in -- they're not an athletic, correct? Or most of them are not an athletic. Is that correct? 
Timothy Baker: We have, as you put it, friends from Manhattan Beach in every category, in every department we do business in. 
Sam Poser: But I mean the increase in the women's casual that -- you didn't drive it -- they probably drove some of those increases there versus driving athletic. 
Clifton Sifford: Sam, I'm not going to talk about brands. 
Sam Poser: I just -- I got to give it ago. And then one last question, one last thing. About your ad, we saw the ad. The ad -- I mean it looks like the ad and I'm -- was very suburban. Was that -- what was the intent of the ad itself? I mean the ad I saw online was very -- it was very suburban. Is that -- was that the intent? I mean how do you think about hitting your customers, who you're aiming at with the marketing and so on? 
Clifton Sifford: Well, the intent of the ad was to talk about Shoe Carnival and the fun shopping experience and the great selection of product. And the ad tested very well with our customer across all ethnicities. So I -- what you're asking me is did we leave a customer out in that ad. I can't tell you that we did. It tested positively across -- I felt that the ad communicated exactly what we wanted to communicate that Shoe Carnival is a great -- is a fun place to shop. It's got a great selection of shoes and the product that was -- that the young lady was modeling for her family created a family experience and showed great product. So I'm -- I -- and as I said, we tested the ad before we ever ran it and it tested well against all ethnicities. 
Operator: And we have a follow-up question from Chris Svezia with Susquehanna Financial Group. 
Christopher Svezia: Just 2 things. One, just on the decision not to do the insert. What was the internal plan in terms of what you thought, either the degradation in comp would have been? What was the anticipated comp impact that you originally expected that to have on the business going to the second quarter? 
Clifton Sifford: We planned our business. We had the week that the insert -- we eliminated inserts, whether we eliminated the entire insert or we eliminated stores from the insert in order to cut costs, we planned those weeks down and that was built into our guidance, Chris. So I'm not sure I want to tell you how much, from a percentage standpoint or dollar standpoint, we plan our business up or down for inserts and/or any kind of advertising. Again, I think that's too granular. 
W. Jackson: Our guidance is flat, we're down 3%. We took much more into consideration than just whether we ran inserts or not. We're seeing the trend, we're seeing how the customer is shopping at other venues and recognizing that it's going to be a little promotional, there there's some inventory out there that's going to have you push through. So the marketplace, so there's more in that guidance than just those numbers. In fact, that wasn't a large part of it because we're expecting to see, once we start into July, we start the back-to-school where we've got the television advertising and the inserts going, that July, the end of July starts our back-to-school push. While most of that push is in August, we expect to see some better results at the end of the quarter. 
Christopher Svezia: Okay. I guess what I'm just trying to figure out is at the end of the day, you said you were down kind of mid-single digits in your guidance for the second quarter. I'm just trying decipher how much of that is just your initial assumption of how much you thought you might have been down because of change in the inserts and how much is actually -- the environment or macro or difficult comparisons or whatever? Just trying to get some color about how to think about that. 
W. Jackson: We expected -- like we said, we're having -- the first couple of weeks, we think were affected larger than we expected on from a comps standpoint. That's going to get diluted out as the quarter progresses. And that's why we're looking at the high end being flat. 
Clifton Sifford: I'll add one more thing to that, Chris. That's one of the reasons we're being cautious, because we're don't -- we're not really sure we believe that the first couple of weeks were affected by a large part by the insert. But again, we're not sure how much of it is a macroeconomic issue. So we are being cautious. 
Christopher Svezia: Okay. But you have seen, as you said, you saw -- I would assume coming through this week, you saw -- like this week is the best week you've had so far. 
Clifton Sifford: That is correct. That is correct. 
Christopher Svezia: Okay. All right. And since you're the General Merchandise Manager or Chief Merchandising Officer, or it's got a title like that, still. What, I guess, at the end of the day, when you look out, what gets you excited? And I know comps have been kind of all over the map. But what gets you excited about your ability to drive comp, whether pricing, whether wins initiative, what you see in athletic, advertising to drive traffic. I'm just trying to get some sense because I'm just trying to downside against inventory and purchases and just sort of how comps have sort of unfolded over the past couple of quarters, not exactly what you expected. So I'm just trying to get a sense what's kind of giving you that confidence as you think about the back half of the year. 
Clifton Sifford: And I'll say, that's a very good question. Let me answer it this way. I think that if it's a macroeconomic issue and our customers being affected by utility bills and gas prices, that was -- utility bills created in the February and March time period, that's going to be behind us as we enter into the -- later in the spring and summer. So that's a little of my thought process. Then when I take a look at what we have while coming in for the back-to-school time period and the strength of what we're seeing right now in the canvas product, whether it be fashion or vulcanized or skate or even comfort canvas, I think you understand where I'm going with that. What I see is going on with memory foam and with junior flats and then most of which when I see what's happening in our women's boots as we go into the second half, I'm actually -- I'm much more positive about our second than I am about second quarter. So I don't want to oversell it, I just -- I've seen the promotion, I know that we don't have the noncomp events of not running inserts as we go into teatime periods at the second half. So I believe that when you add all of that together, I think we'll stand up to see much better comps in the second half than what we're seeing right now. 
Operator: And that does conclude today's question-and-answer session. At this time, I'd like to turn the call back over to your presenter for any additional or closing comments. 
Clifton Sifford: I do appreciate everybody being on the call. We look forward to talking to you again on our second quarter conference call in August. Thanks again. 
Operator: Ladies and gentlemen, this does conclude today's conference. We thank you for your participation.